Operator: Good day and thank you for standing by. Welcome to the Photronics second quarter 2024 earnings conference call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question and answer session. To ask a question during that session, you will need to press star-one-one on your phone. You will then hear an automated message advising your hand is raised. As a reminder, this conference is being recorded Wednesday, May 22, 2024. I would now like to turn the conference over to Richelle Burr, Chief Administrative Officer. Please go ahead.
Richelle Burr: Thank you Lydia. Good morning everyone. Welcome to our review of Photronics fiscal 2024 second quarter results. Joining me this morning are Frank Lee, our Chief Executive Officer, Chris Progler, our Chief Technology Officer, and Eric Rivera, our interim Chief Financial Officer and Chief Accounting Officer. The press release we issued earlier this morning together with the presentation material that accompanies our remarks are available on the Investor Relations section of our webpage. Comments made by any participants on today’s call may include forward-looking statements that include such words as anticipate, believe, estimate, expect, forecast, and in our view. These forward-looking statements are based upon a number of risks, uncertainties and other factors that are difficult to predict. Although we believe the expectations reflected in the forward-looking statements are reasonable, we cannot guarantee future results, levels of activity, performance or achievements. We are under no duty to update any of the forward-looking statements after the date of the presentation to conform these statements to actual results. During the course of our discussion, we will refer to certain non-GAAP financial measures. These numbers are useful for analysts, investors and management to evaluate ongoing performance. A reconciliation of these metrics to GAAP financial results is provided in our presentation materials. At this time, I will turn the call over to Frank.
Frank Lee: Thank you Richelle and good morning everyone. Second quarter sales increased slightly from the first quarter as positive seasonality trend were mostly offset by temporary market softness following the Chinese New Year holiday, and the impact from the earthquake in Taiwan. On April 3, a major earthquake hit Taiwan, where we have three manufacturing facilities. I’m happy to report that our people are safe and there was no significant damage to our sites or equipment. The strength of the earthquake and following aftershocks impacted our production through two downtimes as we must investigate to ensure there is no damage to our facilities and manufacturing equipment. In addition, we must repair or reject masks that were in process at the time of the event. Our IC and FPD teams in Taiwan are experienced in dealing with these events and nearly all [indiscernible] were fully recovered within a few days; however, the loss of production time and in-process inventory resulted in a reduction in sales of approximately $3 million. Order rates at the beginning of Q2 were strong, continuing the positive trend we saw at the end of Q1 and consistent with the high order rates we typically see ahead of the Lunar New Year holiday. Following the holiday, we usually see increased bookings as customers return to work. This year, the ramp in order rate was lower than our expectations. In addition, the timing of the earthquake following the holiday further reduced bookings, causing April revenue to be soft. Since then, order rates have increased and we are entering the third quarter with higher confidence. These factors contributed to sales of $270 million in the second quarter. IC sales improved quarter-over-quarter while LPD decreased. Compared with the first quarter, gross margin was similar and operational margin was largely lower as we had higher R&D expense driven by an increase in qualification activity. As a result, reported EPS was $0.58. On an adjusted basis, EPS was $0.46. Cash flow was good during the quarter and we further strengthened our balance sheet to position us to invest in the market [indiscernible] growth opportunity we have, especially in IC. I would like to recognize the dedication of the global Photronics team this quarter to achieve these results, especially those in Taiwan that responded to added challenges. Turning to the market, reversing a trend seen over the previous three quarters, our IC mainstream sales increased, mainly driven by market share gains. High end was down primarily due to lower U.S. demand. Consistent with most of the end users, we see the overall semiconductor environment gradually improving into our fiscal Q3 and Q4 across most IC segments and regions. High end LPD was softer as AMOLED design demand has [indiscernible] ahead of new premium smartphones that should begin production ahead of fall launches. Longer term, we remain optimistic regarding positive demand trends for both IC and LPD. IC customers in Asia continue to migrate to smaller design nodes, including 32 and 28 nanometers. We are well positioned to capture this business. We also expect megatrends, such as AI, to drive chip design activity to handle AI workloads and edge processes. We expect a wide range of IC types be developed in support of this AI ecosystem from GPU, CPU and ASIC, to high band memory and power electronics. We also continue to expect trends in supply chain regionalization to drive market demand--overall market demand in support of new [indiscernible]. For display, despite the near term softness in demand, we remain optimistic long term. Mobile devices continue to be introduced with new displays that contain advanced features enabled by higher value photomask. In addition, panel makers continue development efforts to expand AMOLED technology into bigger displays, such as tablets and laptops. We will soon see AMOLED produced on [indiscernible] panels. Our LPD mask solutions are reliant upon for new design--for new display R&D cycles and the most demanding mass production of advanced displays. Overall, we maintain an optimistic long term outlook for mask demand and see many positive factors that support marginal growth trends across Asia, the U.S. and Europe. We believe our strong customer relations, including long term purchase agreements, coupled with leading technology and high output capacity should allow us to outgrow the photomask industry. As we do, our proven ability and commitment to keep costs low should enable us to expand margins and generate strong cash flow, allowing us to continue [indiscernible] in growth. At this time, I will turn the call over to Eric to review our second quarter results and provide third quarter guidance.
Eric Rivera: Thank you Frank, and good morning everyone. Second quarter revenue of $217 million was slightly higher than the first quarter. There were headwinds that limited growth in a period that is typically up on seasonality, including the Taiwan earthquakes and soft demand following the Chinese New Year. IC revenue growth was mixed, quarter-over-quarter improved as robust mainstream demand more than offset high end weakness primarily in the U.S. On a year-over-year comparison, IC was down as strong high end volumes shipped to foundries in Asia were more than offset by lower mainstream demand. Order rates at the beginning of Q3 give us confidence for the upcoming quarter, and we remain confident on the long term outlook for IC photomask demand. FPD revenue was lower sequentially and year-over-year with softness in both high end and mainstream. Seasonally soft high end trends were heightened due to the earthquake and FX headwinds. Looking into the third quarter, demand for mobile display masks is expected to pick up on seasonality trends ahead of anticipated fall launches of new premium smartphones. Gross margin was 36.5%, essentially the same as the first quarter and down from last year primarily due to lower premium charges. The resulting operating margin was 25.8%, down from last quarter and last year. Operating expenses were higher this quarter due to increased R&D as we had a high level of qualification activity. This bodes well for future demand as most qualifications result in incremental revenues. On that note, on the IC side we process qualification masks from EUV and sub-14 nanometer through midrange and mainstream nodes in logic and memory. We also plan to enter qualifications of our new multi-beam mask writer in Q3, representing Photronics’ commitment to the highest end of IC mask making. On FPD, we saw increasing utilization of our advanced phase shift mask, indicating the higher value lithography processes under development by our customers, as Frank highlighted. Net income in the quarter was $36.3 million or $0.58 per diluted share on a GAAP basis. After adjusting for non-operating FX gain, non-GAAP net income was $28.7 million or $0.46 per diluted share. We generated $76.5 million in operating cash flow and capex was $20 million for the quarter. We still expect total capex of $140 million in 2024, primarily in both high end and mainstream IC to address anticipated demand growth while ensuring we’re increasing our return on invested capital. We ended the quarter with a cash balance of $539.2 million, short term investments of $20.7 million, and debt of $21.8 million, allowing sufficient liquidity to fund investments in organic growth. Before I provide guidance, I’ll remind you that our visibility is always limited as our backlog is typically only one to three weeks, and demand for some o four products is inherently uneven and difficult to predict. Additionally, the ASPs for high end mask sets are high and as this segment of the business grows, a relatively low number of high end orders can have a significant impact on our quarterly revenues and earnings. Given these caveats, we expect the third quarter revenue to be in the range of $221 million to $229 million. We expect positive photomask demand momentum that as interrupted by the Chinese New Year to resume and continue through the third quarter. Based on these revenue expectations and our current operating model, we estimate non-GAAP earnings per share for the third quarter to be in the range of $0.53 to $0.59 per diluted share. This assumes an operating margin of between 28% and 30% as we continually keep costs under control and maximize profitability. We faced some unique challenges in the second quarter. Despite this, we achieved sales equal with Q1 levels and were able to maintain good margins. Positive order rates as we exited the second quarter are encouraging for our third quarter and full year outlook. We continue to perform well and build on our solid financial foundation to profitably grow and create shareholder value in 2024 and beyond. I’ll now turn the call over to the Operator for your questions.
Operator: Thank you. [Operator instructions] Our first question is coming from the line of Tom Diffely of DA Davidson. Your line is open.
Linda Umwali: Hi, this is Linda Umwali on behalf of Tom Diffely. Thank you for letting us ask questions this morning. To start, very sorry to hear about the impact of the earthquake, and we were glad to hear everyone there was safe, so it’s a good thing to hear. My first question will be on that - if I heard you correctly, the impact on the quarter from the earthquake was $3 million, or was just that--was that just on production and inventory? Maybe if you could clarify and quantify how much the earthquake impact was and how much is embedded in your guidance for the July quarter. Thank you.
Eric Rivera: Hello Linda, thank you for asking the question. This is Eric. We had a $3 million impact, like we mentioned, related to the earthquake. Most of that was production lost time. In terms of materials or anything else, it was not significant, but the majority of it was production lost time.
Linda Umwali: Okay, and so it did not impact--oh, go ahead?
Eric Rivera: I’m sorry, go ahead. Yes, so with respect to is that embedded in our forecast, that was a one-time event for us as the earthquake just impacted this quarter.
Linda Umwali: I see, thank you. Still on the earthquake impact, I might have missed it, but is there an impact on the capex plan for this year, or are you still think the $140 million that you had mentioned last quarter? I’m thinking, given the repairs that might have to take place as you are still investigating, would that have any change on that, and what could be [indiscernible]?
Eric Rivera: We don’t expect that to change our $140 million of expected capex for the year.
Linda Umwali: Okay, so could you remind me again, what the split would be, FPD and IC?
Eric Rivera: It’s mostly IC. There is some FPD there, but it’s mostly IC.
Linda Umwali: Got it. Thank you for the clarification. Going to overall revenue, it remains around 5% below your prior year levels, and you mentioned that the ramp in order rates was lower than expectations following the Lunar New Year. Could you walk us through what is happening here? Why do you continue to see such low levels of growth, and are you seeing impacts primarily from end market weakness, share losses given a ramp in Chinese competitors or delayed new programs?
Frank Lee: Linda, thank you. In the past, a lot of customers, like the [indiscernible] customers, they took off before the new year holiday, so people can take off for the holiday, and we see very heavy bookings also in high end I mentioned before the holidays. Normally after the holiday, the orders will recover step by step, but this year it seems to be slower than in the past, so we still have very strong first two months in the quarter but many because of the orders before the New Year. In the month of April, the new orders coming, the rate of new orders coming kind of slowed, especially in the high end, so it did impact the April output. The market seems to be very volatile. It’s not quarter by quarter, it’s month to month, especially in the high end because in a high end order, every single set is a much higher price, so the impact is bigger than the mainstream business. However, at the end of April and going into Q3, we do see orders start to recover and, based on seasonality, Q3 typically is a good month--is a good quarter for [indiscernible], so we are expecting the high end orders especially will reach to a good level in this quarter.
Linda Umwali: Great, thank you for that color. Since high end is expected to be doing well in the upcoming quarters, if you think about mainstream, you mentioned a softer demand environment this quarter. Is that what you’re expecting in the next quarter as well, and with the softness there, is it in certain segments or across the board? Maybe give us more color on how the demand environment looks like there, maybe current lead times, and maybe touch on pricing as well.
Frank Lee: In the mainstream segment, because a lot of new fabs, especially in China, they are ramping up in the mainstream business, so compared to the previous quarters, mainstream demand actually was very consistent and increasing quarter by quarter. In the past several quarters, we do increase our capacity to support the mainstream business. In previous two years, because our capacity limitation, our lead time for mainstream product are kind of relative long, and so we did not take as many mainstream orders as we can. But starting this year, we do have some mainstream new capacity and we start to take more orders, and that reflects in our growth in mainstream IC business.
Linda Umwali: Great, got it. Then maybe Eric, looking at gross margins, quite flat from first quarter and down from last year. I believe you mentioned it was due to some premium charges, lower premium charges. Could you touch on that, and then what are you thinking for next quarter?
Eric Rivera: Sure. As you mentioned, our premium charges are much lower this year than they were last year, and that explains the decrease in revenue and our margin. With respect to our margin levels for the rest of the year, I don’t expect them to be much different than what they are at the current level.
Linda Umwali: Okay, so if the demand environment changes, are you still expecting the same levels?
Eric Rivera: Say again, I’m sorry?
Linda Umwali: Even expecting an upturn on the horizon, are you thinking the same for next year and second half this year as well?
Frank Lee: The premium may not come back; however, because of the better product mix, more high end especially in 22 and 28 nanometer product, our branded ASPs do increase quarter by quarter, so if we compare with last year, even if premium disappear, our overall gross margin actually increases quarter by quarter, so it’s nice to have premium charge but we know it’s not a long term event, so we put a lot of effort to improve our product mix such that the branded ASP can be higher.
Linda Umwali: Awesome. Well, thank you so much for your time today.
Eric Rivera: Thank you Linda.
Operator: Thank you. Our next question is coming from the line of Eric Reckwood [ph] from [indiscernible] Advisory. Your line is open.
Eric Reckwood : Thank you very much. Good to hear about the orders recovering at the end of April and looking good going into May, and the minimal impact despite the earthquake. I guess the first question is on the earthquake. I’m not too familiar with how photomasks might fare in a disruptive earthquake like that. Do you expect that there was some damage to photomasks that were being used in the market at the time, and that that should lead to some photomasks needing to be scrapped or serviced, and that could lead to a potential bump in future quarter revenues?
Frank Lee: Yes, during the earthquake, most of our equipment has a self-protection system, so if the earthquake is over a certain scale, the tool will shut down automatically to protect the tool. At the same time, if there are any photomasks in the process inside a tool, that photomask will be considered incomplete, so it cannot continue the process. It has to be rejected. Certain photomasks, for example if it’s in the cleaning process, then we may have to check if there’s any defect or [indiscernible] on the mask, and some can be repaired, some cannot be repaired, we have to reject. None of the damage or impacted masks will go to customers; however, they will be rejected or repaired in a production line.
Operator: Thank you. Ladies and gentlemen, there are no further questions at this time. I will now turn the call back over to Mr. Frank Lee for closing comments.
End of Q&A:
Frank Lee: Okay, thank you for joining us this morning. We had a slower than expected start to 2024 and the earthquake in early April impacted our results, yet we remain optimistic that we can achieve another year of solid results. The team is performing well, the long term outlook for our market is supported by positive megatrends such as AI, and we are in a good position to benefit due to our global presence and advanced technology. I look forward to updating you on our progress. Thank you.
Operator: Ladies and gentlemen, that concludes the conference call for today. We thank you for your participation and ask that you please disconnect your line at this time.